Operator: Good day, ladies and gentlemen, and welcome to the St. Joe Company 2012 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer question and instructions will follow at that time. (Operator Instructions) As a reminder, this conference is being recorded. I would like to now introduce your host for today’s conference, Mr. Tom Hoyer. Mr. Hoyer, you may begin your conference.
Tom Hoyer: Thank you. Hello, everyone, and welcome to the St. Joe earnings call for the period ending September 30th, 2012. My name is Tom Hoyer. I’m the chief financial officer at St. Joe and I’ll be the first to represent the company on the call today. Let me begin with the forward-looking statement. Some of the information we will discuss on this call is forward looking. This information include statements that are preceded by or include the words believe, expect, intend, anticipate, well, may, could or similar expressions. These forward-looking statements may be affected by the risks and uncertainties in our business and actual results may differ materially from the forward-looking statements. Everything we say here today is qualified in its entirety by cautionary statements and risk factors set forth in this afternoon’s press release and our SEC filings including our annual report on the Form 10-K with the SEC on February 27th, 2012, which documents are publicly available. Our statements are as of today, November 1st, 2012 and we have no obligation to update any forward-looking statements that we may make. Let’s move on to the third quarter results. I’ll make some brief opening comments about the quarter and then I’ll open it up to your questions. We reported revenue of $55.9 million in the third quarter this year compared to $26.7 million in the third quarter of last year. Much of the quarter-over-quarter increase in revenue came from two land sales, but I’ll talk about those later. If I exclude those land sales, revenue increase on a pro forma basis to $37.6 million compared to $26.7 million for the same quarter last year, which is about a 41% increase. It’s a similar story for the comparable nine months. We reported $116.8 million of revenue for the first nine months of 2012, compared to $125.5 million of revenue for the same period last year. If I again exclude the $18.3 million in land sales in the 2012 numbers, and I also exclude the one-time timber deed for $54.5 million in the 2011 numbers. I get pro forma operating revenue of $98.5 million for the nine months ending September 30th, 2012, compared to $71 million for the same period last year, which is a 39% increase. Our revenues are increasing because we sold more residential lots; deliver more tons of timber and book rooms in our resort properties than last year. These improvements are the result of refinements in our operations and strong demand even while our businesses continued to be affected by the slow economy and restrictive credit. Beginning with residential, we sold 45% more units quarter-over-quarter and the associated revenue grew 146%. The increase in demand has driven increases in the lot prices in some of our communities, particularly in our vacation communities. We believe that we could accelerate revenue by keeping prices lower plus generating a greater number of sales. But instead we’re seeking to maximize profits and long-term value by continuing testing the upside in lot prices. In our timber business, we harvested 13% more tons of timber in third quarter of 2012 compared to the third quarter of 2011 and revenues increased by roughly the same magnitude. Most of that increase is due to process changes that we made in our timber operations including opening previously restricted land for harvest and also investing in infrastructure and software that will improve the production in our timber stands. The revenue derived from our vacation resorts, golf clubs and marinas is 9% higher in the third quarter of 2012 compared to the third quarter of 2011 due to increased demand. We get a compounding effect from increased demand. For example, the WaterColor Inn. Not only are we booking more room nights, the average room rates have increased due the higher demand. In addition, ancillary revenue for things like food and the rental creation equipment is higher. We see the same compounding effects at our golf courses and marinas. Yet income of the third quarter of 2012 was $15.3 million compared to a net loss of $2.4 million for the third quarter of 2011. Two rural land sales, both of which have been in progress for a long time and neither of which involves property that’s part of our strategic focus, contributed $14.2 million to pretax income in the third quarter. I’m taking the time to talk about these types of land sales because they are not – nor that we anticipate that they will be a core part of strategy for generating revenue or cash flow going forward. Although we continue to sell strategic property, if the opportunity arises, our focus for growth will be in residential and commercial development as we take advantage of our significant land holdings and slowly improving economic conditions. We’ll also focus on building a recurring profit stream by investing projects through leasing revenue. We believe that our development experience and location in Florida provides us with strategic opportunities in the retirement market and we’ve begun preliminary research in the various types of retirement housing that may allow us to capitalize on those demographic trends. We also expect that our timber operations and the resorts and the clubs operations will continue to be steady contributors to our financial results in the years to come. As this year, one of the multi-year turnaround in which we intend to take advantage of improving company, the demand for affordable retirement living and commercial opportunities in our northern Florida markets. We ended the quarter with approximately $172 million in cash after we spent over $19 million prepaying debt obligations at one of our projects. By eliminating that debt obligation four and half years early, we’ll save about $6 million in interest expense. The only other debt that we carry in our balance sheet of any significance is a mortgage debt related to a commercial property that we sold several years ago. That debt has been [inaudible] which means that we purchased Treasury securities that when matured will be sufficient to retire the debt. In other words, we shouldn’t need to use any additional company assets to repay that debt. Year-to-date, we’ve increased cash by $10 million, which is after prepaying the $19 million debt obligation. Although the fourth quarter is typically a negative cash flow quarter for us and we still have property taxes and capital expenditures to fund in the fourth quarter this year. So we expect the end of the year with a lower cash balance than the beginning of the year due to the prepayment of the $90 million debt obligation. You’ll find more information on our earnings press release which was released about an hour ago and in our 10-Q which will be filed tomorrow. As a side note, last quarter, there were many of you on the call who did not ask questions. So I encourage you, if you’re an investor in the company to ask questions today. Operator, let’s open it up for questions.
Operator: Thank you. (Operator Instructions) Our first question from Buck Horne. Mr. Horne you may begin.
Buck Horne – Raymond James: Hi guys. Hopefully, we got a few more participants, so I’ll just as a couple and then let someone else chime in if they have any questions. But let’s talk about rural land sales in the quarter and just maybe you can give us a little color on where those were located. I mean, it obviously looks like you got a very attractive price per acre. And I’m wondering if there was some sort of HBU strategic component involved or was it a conservation buyer. I’m just wondering how this acreage compares to the rest of your rural holdings. And do you have anything else in terms of large land transactions in the pipeline?
Tom Hoyer: I’ll start with the last question first. We do not have anything in the pipeline in terms of large rural land transaction. As I mentioned, that’s not something that we are trying to market or trying to do to grow or generate cash for the company. The two that we did close in the third quarter, one has actually been in progress for a couple of years, the other just about the same amount of time. One was outside of Tallahassee. It’s not a secret. The Veteran’s Administration bought it for a military cemetery and paid us. The per acre price was – that was a really good price when you compare it to the land surrounding it. The other piece of property was to a power company. It was up near the Florida-Georgia border. I really can’t go into all the details on what it was exactly but again, you could probably tell by the location I gave you, it was a very good price per acre.
Operator: Okay. Mr. Buck, you seem to disappear from the queue. If you can queue back-up, Mr. Buck. Okay. Your line is open again.
Buck Horne – Raymond James: Okay. Great, thanks. Thanks for that Tom. Also on, I guess for the residential side of the business. I mean, it obviously looks like you got some pretty good pricing on the residential lots that were sold. Can you give us any sort of breakdown on which communities the 58 units were sold in and whether they were WaterColor or WaterSound Beach or WindMark Beach, just any sort of community-level color in terms of where you saw the most demand in this quarter.
Tom Hoyer: Sure. Saw most of the demand in the WaterColor, WaterSound West Beach, those kinds of communities up here along the coast near where our headquarters is where you visited here. We’ve also had some increases in some of our primary communities but most of the increase in lost sales has been on our vacation communities. It’s also where we’ve seen the biggest increase in lot prices. Right along the coast here in those communities, we’ve seen lot prices, since the beginning of the year increase from anywhere in the range of 10% to about 40% with some of our really, really lots increasing upwards to 60%-65%.
Buck Horne – Raymond James: And so, I guess – I mean, obviously, you can’t answer this that it sounds like the vacation home market is doing comparably much better than the primary home market. Are there many other pockets though that has maybe softened or slower than expected. I guess, I’m wondering about WindMark Beach in particular and just any comments you may have. I mean, there are some concern, I guess, by some investors that more impairments may have to be taken in certain communities. I’m just wondering if you have run any impairment test or anything on the watch list.
Tom Hoyer: We actually evaluate all [inaudible]. That’s every quarter, we do a major evaluation at the end of every year. We did a major evaluation at the end of last year. We went through all those assets including WindMark Beach, the residential assets, and the commercial and operating property assets. WindMark Beach in particular, we took a very large write down on. I’m comfortable that we’re not going to have further impairments on the properties that we’ve already written down. WindMark Beach, to answer your question about what’s been going on there this year, it’s actually performing a dotted line with the models that we put together to evaluate it when we did the impairments. So WindMark Beach really is longer term asset for us. We’re not expecting it to do much here in the short term but it’s a great piece of property. It’s got miles of waterfront, thousands of acres that are contiguous to those miles of waterfront. And at Pier Port St. Joe, which as you know, we’re developing, and we want to see how that pans out there and what kind of demand that might bring to WindMark Beach. We have hopes for WindMark Beach. It’s still a little further out than the next year.
Buck Horne – Raymond James: Okay. Tom, I’m just going to let the operator queue up anyone else that may have a question, then I’ll run through my list after I queue back in, after someone else.
Operator: (Operator Instructions) And I’m seeing our next question is from Aaron Scully, you may begin.
Aaron Scully – Janus Research: Hey, Tom. Congrats on the quarter. So your net cash is up. It looks like 30% from the beginning of year. And you paid down – so you’re going to pay down that CD [ph] that should generate a decent return. Could you rank any other potential uses of that cash going forward because it seems like it increase to grow. How do you think about other potential uses?
Tom Hoyer: We are looking at several different opportunities that we’d invest our cash in. We are looking at commercial development opportunities which we would partner with mall operators, for example. You guys are aware that we’re looking at opportunities down at the port – the seaport for St. Joe. Again, looking for a partner there to help us bring in potential tenants at that port. We’re also looking at a few residential projects, again, which we would use that cash to fund those projects. We are just working really through the planning stages of these projects. I can’t give you a lot of details. They’re not mature enough to announce or talk about but we have a plan for using that cash. We are going to do, as we said at the beginning of the year, we are looking a return on investment, we’re modeling this out, we’re testing our assumptions. We’re not going put all the money into the ground first and then wait for people to come and buy. We’re going to do this stuff iteratively and make sure that it’s working, and if it doesn’t we’ll adjust.
Aaron Scully – Janus Research: That’s helpful. Thanks. Just switching gears real quick. Residential and break point, it sounds like an area where you guys have some success. Just looking at the records and the accounting, it seems like a decent number of sales there. Could you remind me how many lots, just from a supply standpoint, you could supply to the market a year and maybe just touch on kind on the success you’re having at purchase point.
Tom Hoyer: You’re talking about purchase point specifically?
Aaron Scully – Janus Research: Yes.
Tom Hoyer: Phase one, we have about 350 lots that are available in phase one. And that’s what we’re developing out now and that’s what we’re selling out now. We have a phase two which would have an additional 1,600 lots but we would still have to invest some capital to develop those lots.
Aaron Scully – Janus Research: How many lots in phase one?
Tom Hoyer: I think about 300.
Aaron Scully – Janus Research: Yes. And then just any comments on kind of the health of that market would be right now?
Tom Hoyer: That market, Breakfast Point is actually a pretty good project for us right now. I know when you look at our numbers, [inaudible], there’s a big grace period-over-period, but there’s some shift in terms of houses in some of our developments, primary home developments versus other primary home developments and Breakfast Point has been a great [ph] spot for us. We think we have lot of interest from builders in Breakfast Point. We are already considering phase two, so we have a lot of builders and builders from outside the area who have approached us about buying lots, not only in Breakfast Point, but some of our other primary home communities. But I think it’s probably not unknown to you that builders are talking about a shortage of available lots to those homes and we’re seeing that in the traffic that we’re getting from builders in our projects.
Aaron Scully – Janus Research: That’s good to hear. So it sounds like from a capacity standpoint, you have the capacity to deliver a lot of lots, and then from a demand standpoint, you are seeing early indications of a ramp up in some demands for some of your primary projects.
Tom Hoyer: Yes. We are seeing a ramp up in demands for some of our projects. Things are slowly improving.
Aaron Scully – Janus Research: Okay. Great. Thanks. That’s it for me.
Tom Hoyer: Yes.
Operator: Okay. And I’m seeing a question from Dan Kolowski [ph]. Sir, you may go.
Dan Kolowski: Hi, Tom.
Tom Hoyer: Hi, Dan.
Dan Kolowski: Thanks for doing this call. We appreciate it.
Tom Hoyer: Yes, sure.
Dan Kolowski: So on the commercial real estate side, I think that you [ph] generated $3.6 million in revenue selling commercial real estate. Can you give us a little more granularity as to who you sold that to or where exactly it is located?
Tom Hoyer: The stuff that we sold in the third quarter was actually pretty close to where we are here. It was multi-family types of deals and it’s actually for the last two quarters of – and our commercial transactions, they’d been multi-family types of transactions.
Dan Kolowski: Okay. So is there an acreage kind of associated with that or how would you break that down in terms of the amount of land sold that generated $3.6 million?
Tom Hoyer: It’s about 20 acres.
Dan Kolowski: 20 acres. Great. And just to reiterate [ph], in the rural land, I mean, so 3,200 acres at $5,600 an acre, again, I think it’s a pretty good price for rural land. And then on the residential side, you referenced [ph] a lot, there’s 58 units that comes out to be $165,000 a unit. How large are those lots or units on the residential side?
Tom Hoyer: Wow. Very, very greatly actually. Those are lots in our vacation communities and our primary home communities, so they range inside – we kind of measure them across the front, so they’re anywhere from 35 foot front to 60 foot front.
Dan Kolowski: Okay. So, about [inaudible] fourth of an acre, third an acre?
Tom Hoyer: Probably like fourth of an acre, yes.
Dan Kolowski: Okay. So $165,000 per lot, roughly a third of an acre on the residential side, $3.6 million in revenue generated, off of roughly 20 acres in the commercial side, and the rural land kind of the rural value stuff and now you really actively market and you got $5,600 an acre or better. It’s compelling [ph]. All right. Thank you very much and we appreciate the hard work.
Tom Hoyer: And, Dan, before you go, it was actually 40 acres in commercial. I already sold the one 20 acre transactions, so it’s actually 40 acres in commercial. Sorry.
Dan Kolowski: Okay. Thanks for kind of helping us understand the value.
Tom Hoyer: Yes.
Operator: Okay. (Operator Instructions). I’m actually seeing a follow up question from Buck Horne.
Tom Hoyer: Sure.
Buck Horne – Raymond James: Let’s talk a little bit about the timber business and maybe also [inaudible], the resort business, just what your near-term and longer-term plans are for those business units, anything else that St. Joe wants to do with timber and/or the resort business?
Tom Hoyer: Sure. Our timber business has been a stake [ph] of our business here for a lot of years and we anticipate it’s going be a stakeholder business forward. Five years from now, it will be incrementally larger unless we had switch [ph] from that land acquisitions. If there’s a good transaction out there, we would seriously look at it. We’re not under pressure to go out and try to buy timber land just to grow the timber business, but if we see a good transaction, we’ll go out there and take a look at it. Timber also lends itself to tax efficient structures and so we’re looking at that as well. All that combined, I think timber could be a nice part of our business going forward. The resorts business which is the in-vacation rentals, the golf clubs and the marinas, the golf clubs and the marinas, in a way, have a kind of – they have a fix capacity. They were a main part of our overall business going forward. Vacation rentals, we actually have a nice opportunity to grow in vacation rentals. It’s a very big business up here in Northwest, Florida. We have a CEO who has a lot of experience in vacation rentals business. And it’s one of the places in the next three years, hopefully, we might see it’s become a dominant player.
Buck Horne – Raymond James: Okay. All right. That’s helpful. Going to the airport now, have you had any recent conversations with Southwest Airlines regarding their decision to drop the Orlando route, and is there any indication from Southwest that they have any sort of second thoughts about their commitments to Panama City.
Tom Hoyer: They have no second thoughts at all for the commitment of Panama City. They are making money on the routes that they come here, even the routes that were coming up from Orlando. They dropped the Orlando route because I think it was running about 62% or 63% capacity when you look at it over a week or month-long period, I forget the period that they used. And they just want a higher traffic to be able to continue that route. When they stopped that route, they replaced it and that’s just the replacement about six months ago with additional routes from Houston, a couple routes from St. Louise. Overall, Southwest Airport, their passenger traffic has actually been increasing over the last year or so here in Panama City Beach. They have no plans to pull out the Panama City Beach.
Buck Horne – Raymond James: Okay. Great. Can you give us an update at VentureCrossings and where you’re at with the ITT building and what additional infrastructure and improvement you want to in the VentureCrossings near-term and just how would you characterize the level of dialogue the company is getting with potential new tenants at VentureCrossing?
Tom Hoyer: VentureCrossings, I think we mentioned in the last calls, that’s going to be a bit of a longer-term opportunity for us. We do have one client there, one tenant there, it’s ITT, they actually commenced their lease back in August. They’re in the building, very happy. And we do continue to talk with other potential tenants out there but we have nothing that’s in-minute in terms of sending [ph] any new tenants stuff out there. In terms of investing out there in VentureCrossings, what we have in the ground is kind of where we’re going to be until we get a little more tracks on what’s going with tenants out there. So I wouldn’t look for a lot of investment in that from us until that market starts ticking up out there, the commercial and industrial markets are sticking up there on the airport.
Buck Horne – Raymond James: Okay. Let’s switch over to Port St. Joe if we could because it sounds like the company has really ramped up some of the marketing initiatives there. I’ve seen the new website, looks great, PDF brochures are really cool. Has that marketing effort led to any new leads, I guess, for Port St. Joe and how much more investment do you want to put into it either marketing-wise or infrastructure-wise to ramp up your effort at Port St. Joe this next year?
Tom Hoyer: Sure. Port St. Joe, our next big milestone with Port St. Joe is going to be selecting a port operator to be our partner in operating the sea port down there. And we’re going to the selection process right now. Hope that ramp up here pretty soon. As you know, we got one tenant down there which is Eastern Shipbuilding which services the oil and gas industry out in the Gulf. We are in talks with another potential tenant but I can’t really tell you who it is, but kind of fits the types of industry that you see down here in the panhandle [ph]. As we’ve been talking to different port operators, as we’ve been talking to Bank of Montreal’s that we hired to advise us, be our advisor on the port in terms of putting deals together for the port, as we’ve been talking to all these people, we’re getting pretty excited about the different opportunities that might be available to us at the port. It might be more than just what you see in the industry that’s immediate to the area. It could be a sea ports rather types of commodities. We have to wait and see if that election pan [ph] out or not. But it’s very interesting to people that we have rail line that runs from the sea port up to sea [inaudible] up near Tallahassee. So, I don’t know, we have to wait and see on that. The port might be a star for us.
Buck Horne – Raymond James: Are you guys working on getting any public funding or kind of matching commitments from the local or state government to help with the infrastructure on the project?
Tom Hoyer: We have actually secured some public funding to do some work on the rural road. We are seeking some public funding to help with repairs or construction of a piece of the bulkhead. You’d asked a little earlier about investments in Port St. Joe, as we worked with – once you get port operator onboard and you start working with the port operator and we start talking to people and bringing them onboard, we’ll start getting a clear picture of how much we think we have to invest in the sea port. We could point out investing not a lot because the port may be deep [ph] enough and the land may be suitable for the types of tenants we might have in there. However, it could go all the way in other spectrum and we’d be grudging for deeper channels to putting in a second rail line to building structures and adding of industrial bulkhead along the waterfront there. So I can’t really tell you where we’re going to wind up on that just yet. But if those plans come to fruition over the next year, 18 months, we’ll be talking to you about it.
Buck Horne – Raymond James: Great. Sounds intriguing. Any progress on oil stale claims, anything to report on the legal effort there?
Tom Hoyer: No, not much update from, I think, the last time we talked about it. We’ve got the one claim out there that we’ve got a partial recovery on. That claim has been moved over to the Court of Louisiana, the multidistrict litigation court over in Louisiana. And we’re currently preparing additional claims and kind of our [inaudible] point how all that’s going to turn out for us.
Buck Horne – Raymond James: All right. And a couple of comments, I guess, you had made recently about demographic trends and retirement communities and trying to be more appealing option to these retiring baby boomers. Maybe can you elaborate a little bit more what you have in mind exactly and kind of what St. Joe wants to do to position, I mean, are you guys going to look to build or invest directly in seniors type house or what type of housing or communities are you thinking about?
Tom Hoyer: We are thinking about retirement communities. We’re doing some research, actually doing a little bit of planning just to see what something like that might look like. Florida has no state income tax. The land that we own is an area that’s very nice area for somebody who wants to retire, very model climate, a lot of stuff to do down here. The demographic of the baby boomers is just too big to ignore. We’d be dumb not to take a look and see if we can [ph] capitalize on some way. And that’s what we’re doing. But at this point, it’s still research and planning exercise.
Buck Horne – Raymond James: All right. And couple modeling [ph] things here, the corporate and operating expenses, I mean, you really gotten that down to a pretty low level. Is this a sustainable run rate in terms of your overhead expenses and at what point of – I mean, as things start to improve, would you need to add a little bit more resource than what you’ve done? And I guess related to that, what’s your outlook for property taxes and insurance going into the back-half of the year or latter part of this year?
Tom Hoyer: Let’s see. Property taxes and insurance, probably latter half of the year – in terms of the fourth quarter, it looks like everybody in Florida, we got a fair of property taxes, let’s say, it’s about $6.5 million for property taxes. Insurance is another couple million dollars on top of that. The overheads, we’re pretty comfortable where we are right now with the overhead, for the corporate overhead in particular. As we embark on projects, I can see us hiring staff to work on the projects but we will consider them to be project staff so we need to be fluid with the projects. And I don’t know that as we grow that we’re going to be taking on a whole lot more corporate overhead. We will, as I think we’ve already demonstrated, bring on best-in-class kinds of experts like Bank of Montreal. There’s a couple of legal firms sort of helping us from some transactions, things of that nature that would be spending money on going forward. But relative to the fees that the company spent, professional fees that the company spent in the last three years, I don’t think you’re going to see it to be higher than it was in prior years.
Buck Horne – Raymond James: Last one for me, if you got an update for the total CapEx budget for how it’s going to come in for this year and if you got anything preliminary for next year in CapEx.
Tom Hoyer: We’re not giving guidance, so I can’t go down into details what the CapEx is for next year. I wasn’t here at the beginning of this year. I mean, we talked about CapEx a little bit. Hold on just a second. It looks like for the full year, for 2012, would be just a little north [ph] of $30 million in CapEx.
Buck Horne – Raymond James: All right. That’s it for me. Thanks again, Tom. I really appreciate it.
Tom Hoyer: Yes.
Operator: Okay. And I’m seeing that’s all the time we have for questions.